Piotr Checinski: Good day, everyone. Welcome at the Conference where we will discuss the Results for the First Six Months of 2023 of KGHM. And today we have Mr. Tomasz Zdzikot, CEO; Mateusz Wodejko, Vice President for Finance; Marek Swider, Vice President for Production; Miroslaw Kidon, Vice President for Foreign Assets who is also the Acting Vice President for Development; and Mr. Marek Pietrzak, Vice President for Corporate Affairs at KGHM. As always, we have Janusz Krystosiak, Head of Investor Relations and he will handle the Q&A session at the end of the presentation. We will answer questions from the journalist present here and those submitted by email. This conference is also available online and questions to the Board can be submitted by email at ir@kghm.com and all the answers will be posted at the company's website in the investors kit. And my name is Piotr Checinski, and I am the Head of the Corporate Communication Department and it is my pleasure to be the host of this meeting. Now I will give the floor to Mr. Tomasz.
Tomasz Zdzikot: Thank you very much, ladies and gentlemen. Welcome at the results conference at our head office in Lubin. Today, we'll share with you the results achieved in the first half of 2023. As you know KGHM is one of the largest Polish companies and also a very global Polish enterprise. Therefore, we are impacted by external environments, macroeconomic, not only local at Polish level, but also global factors. On the one side, it could be the price of basic raw materials, price pressures, economic situation in countries that drive demand. We are one of the largest suppliers of copper and all those factors influence the results of the Capital Group, KGHM Capital Group that we will share with you today. Starting the presentation. Ladies and gentlemen, as I said, the macroeconomic environment is noteworthy for a number of elements, the price of copper. The price of copper which compare to the last -- the previous period, significantly came down. The average price is at $8,700 per tonne and was 8% lower than in the same period last year. The same applies to the price of copper in Polish zloty. This is a significant decrease of the price of this raw material that influences our raw material. In terms of the price of silver, it is similar to the same year -- same period last year, the same in terms of exchange rate. Molybdenum price went up. However, the volume of production of molybdenum is such that, that increase doesn't influence the result of the Capital Group. The price of copper influences the result of the Capital Group, but why the price is as it is? First of all, the expectations were not confirmed related to a strong increase of the Chinese economy after the COVID pandemic, China is one of the largest markets. On the right-hand side, we can see that levels of stock in Shanghai exchange after increase went down significantly. This was influenced by Yuan's exchange rate to the American dollar, which is -- which came down. Also the use of own existing stock and also forecast that fail to fulfill in terms of the construction industry. The demand is driven by energy projects, but the market expected a strong bounce in the economy after the COVID. This didn't happen and this drives the price of copper. Right now, the price of copper is significantly lower than last year, and at present it's within the range of $8200 per tonne. The price of in Polish zloty is a bit higher and that also influences our results. In terms of the macroeconomic environment, it is driven by different countries, especially by countries that drive demand for our products. In Poland, we can enjoy positive economic growth. These are forecasts of the International Monetary Fund from July comparable to the previous forecasts. But in general, the downturn of the economy in Chile, not very optimistic forecasts in terms of other economies, the Eurozone under 0.1 percentage point. So that drives the demand for our product. And that's why the price is -- the price of copper is 11% lower than in the first half of last year. In terms of our results, I've showed you the price of copper lower by 11%. US dollar to the Polish zloty exchange rate is comparable. We are happy in terms of the production performance. And actually, the all of the performance delivered by Polish -- by Polska Miedz. Our performance allows us to mitigate cost pressure of risks related to the fluctuations in the energy market and the steel market. So the results of KGHM are excellent, historically highest -- one of the highest. So I would like to extend my thanks to all our employees, our people working for us. Their work significantly contributes to our performance. We are determined to continue our investment program. We're really happy that CapEx performance is 21% higher than the same period of last year. Revenue down by 1%. That's comparable given the difficult macroeconomic environment. We take pride in keeping a very safe level of debt to EBITDA, under one and my colleagues will elaborate on these details. In terms of the key and principal results, the Capital Group over PLN17 billion in revenue, PLN15 billion by Polska Miedz, EBITDA 3 -- over PLN3 billion, one of the high -- historically higher and Polska Miedz over PLN2 billion contribution and the results are really significant highest in this year. My colleagues will elaborate on that. All this we owe two excellent production performance and reduction in cost pressures. This picture gives you more details. EBITDA at over PLN3 billion. This is the third highest result. The 2021 in the first six months was known for very high copper prices and the strong American dollar that influenced the results of the Capital Group, but the results PLN3.148 billion is typical for our company's net results, fits the long-term trend and the level of debt is safe. Production of silver and copper historically at a very robust levels. These are one of most important factors that allow us to mitigate any risks related to the existing prevailing cost pressures. In terms of development just by way of introduction, Mr. Kidon will elaborate more on this. Historically, we can enjoy the highest level of investments, PLN3.25 billion. These are the assumptions and the performance in the first six months PLN1.369 billion that's 21% higher than last year. We presented the results. The GG-1 shaft which was connected in mid-June with our mine, we could -- we presented that there on site. We commissioned the SOLINOX line in our copper plant. We've started a lot of investments and we're preparing salt production, GG-2 shaft where work is underway. But Mr. Kidon will tell us more.
Piotr Checinski: Thank you very much, Mr. President. Now, I'll give the floor to Miroslaw Kidon.
Miroslaw Kidon: Thank you. Thank you for this powerful introduction. Now let me elaborate on a few things. Yes, indeed record-breaking CapEx and investments in 2023. But as the headline says, we are reasonable and responsible in our investments. Why are we spending this money? It's because we want to ensure our future for the Polish copper. Polish copper was built in the 1960s and '70s. The newest mine comes from 1982. So replacement. Replacement is of key importance. We just can't give up on this. As you can see, as much as 36% of investment is replacement and maintenance. We need to adapt to changing geological situation, water deposits and other things we stumble upon in mining. Also in processing and smelting, we need to follow up on environmental requirements. We need to spend money on that or need to keep developing to maintain our production levels. And then development, R&D and we've heard -- we also spend money, R&D money on analysis and feasibility study of the salt works and we do that to take care of clean environment. We are a responsible company and we meet all the legal requirements, but we want to walk the extra mile. We want to generate clean water and we want to sell the world's best kitchen salt. Now, our CapEx, our investment plan is not at risk. We will deliver it as planned and this is a record-breaking plan, but it's still very reasonable. This will allow us to compete with the world's leaders in the future and to defend our second place in the global ranking, the second largest manufacturer and the eighth place in terms of largest copper mines. If you look at the details of our investments, then as we mentioned before, GG-1 shaft, this is a huge investment. The shaft is Europe's deepest 1,048 meters deep. We recently celebrated the first connection to the Rudna mine and we also think about GG-2 and Grebocice shaft. Why is this so important? A lot of money here has been allocated for machinery replacement, water drainage, and our cost are growing. It's energy. It's the war. And on the other hand, we have to compete against our competitors. We have to reduce our C1 cost. Economies of scale, growing production will allow us to reduce our cost base. But to produce more we need to access new deposits. We need to develop. We need to go ahead. We need to build new shafts. Geology is not helping. We have 55 degrees, that's the rock temperature at 1300 in the ground. These are very challenging conditions. This requires a lot of cost in terms of ventilation and air-conditioning. Air conditioning alone in the shafts is, CapEx in the range of PLN0.5 billion. 800 cubic meters of water per hour and the temperature of the water is 1.5 degrees and the returning water is 23 degrees. So this is a huge project. It doesn't look like AC in your flat at all. But this is indispensable. Without this, our miners will be unable to work down there. If you were -- if you went down the-- if you could feel the temperature we had before we connected to the mine and we started to pump 10,000 cubic meters of air per minute, well, the difference is huge. On target, we want to have 45,000 cubic meters per minute. The plan was 30,000 but with an investment of nearly PLN2 billion, our people were working hard to improve that capacity. They worked on the shape of the shafts. We also got some permits to increase air velocity from 12 meters to 18 meters per second. As a result, we will deliver 45,000 meters -- cubic meters per minute in 2029. That's why we're interested so much in the further development of GG-2, Grebocice and the Retkow. We're also interested in other methods of improving ventilation. Ventilation is cheaper than air conditioning and we want to do an experimental drill for the Lubin mine. The borehole diameter will be roughly four meters and that borehole will be 600 meters deep and its purpose will be to improve ventilation and working conditions in the mine. So far we haven't done that. This is a new technology for us. We want to test it. And I will tell you more about this when I discuss international assets because we want to use our know-how and experience from overseas. Coming back to our investments. Let me tell you about our pit, our workings. They are according to plan. Over 20 kilometers of workings that the expansion that we do in order to reach new deposits, water pumping station successfully launched and on-time, a very important investment in a six cubic meters per minute. This is what we started. Now we have 12 cubic meters and the target capacity will be 24 cubic meters per minute and we want to reach it in 2024. Also I would like to draw your attention to the fact that in the program to adapt the installations to BAT conclusions, we commissioned the SOLINOX plant. We are removing arsenic and mercury. We will also use -- we will also install the -- the plans to remove particulates containing mercury and arsenic. We will use sub-atmospheric pressure, so the dust will be sucked in and captured in air tight conditions. And we want to use state-of-the-art solutions that will be very environmentally friendly and they will reduce expenses related to dust and metals. Another important project is the replacement of our machinery. If you ask our miners who want to work with state-of-the-art and reliable equipment then they will tell you that this decision was just right, the decision to replace our machine part and this is an important stage in the life of a mine. If you're delayed with this, if you do not follow the lifetime, the lifecycle of a mine, then you will suffer in the future because your equipment availability will go down. Your production output will go down. We want to be responsible as the Management Board and we also employ professional managers and specialists. We are fully aware of that and we have a regular equipment replacement plan and we allocate the resources we need to avoid any availability reductions. We actually want to improve equipment availability. We want to reach -- we want to catch up with the global leaders and Sierra Gorda is one with 86% of equipment availability. Let me also mention the Southern Quarter. Finally, KGHM will start use hydrocyclones and densification of waste. This is a technology used globally and we've never had this. When waste is densified to 62% of solids, that's our target in Sierra Gorda for instance. We may not reach the target, but still we will reduce our costs and waste storage is cheaper. And also the waste heaps grew at a slower pace, which obviously is cheaper. Now let me move to the next slide. Let's go to the Deep Glogow, that's an important operating area for us. That's why we are reporting on the progress regularly. This area is stable and it keeps growing. As you can see on these charts, in the first six months of this year compared to the first months of the previous year, that's 38% -- 32% in the amount of metals and precious metals is 35%. Active concessions and future potential -- more well -- the nearest areas that's rather than needs, we want to apply for a new concession until 2026. We estimate that copper content is roughly one million tonne -- tonnes. And we also want to concession in Retkow, Grebocice in 2025. We want to get that license -- the mining license in 2025. The other concessions are for prospecting. We are trying to beat our competitors because there are some and hopefully in terms of concessions, KGHM will meet all the requirements on the expectations of the public administration and we will also prove to be an attractive holder of the concession from the government perspective. Now let me move on. Now I'll give the floor to Mateusz. Thank you very much.
Mateusz Wodejko: Mateusz Wodejko, VP for Finance. Welcome, everybody. Our colleagues said a lot about energy, about key aspects related to excavation, related to energy, but the smeltering also consumes a lot of energy and needs competitive energy. Therefore we are undertaking a lot of actions related to low-emission energy. These activities show that we are progressing in the right direction. In terms of solar, the first project, they are still small in Glogow 1, 3, Tarnowek, Kalinowka, Polkowice, they are nearly finished to get the building certificate and to start the commissioning. But in the pipeline, we have significantly larger projects, 50 megawatts farm in Obora, Piaskownia Obora, 88 megawatts were at the end of June. We applied for connection. This conditions in-house development is the most beneficial one. Therefore, we have a renewable energy project team to continue that. So in terms of when do we have Radwanice-Zukowice offshore or onshore actually land. We can also develop other interesting projects. In terms of renewable energy projects in the market, we are very active there as well. And as I have mentioned during previous conferences, everything depends on the price. If the price is attractive given our financial model, we will be involved in the projects. In a number of cases we are at a very advanced stage and I really hope we'll shortly communicate something to the market. Everything depends on the price and on the transaction conditions. So we are active there. Going to nuclear energy and other low-emission area where we're very active. This is a long-term project, but step by step, we are fulfilling our test. Number one, we've obtained the principal decision for two potential locations. We obtained that permission in July and this confirms our high standing in terms of nuclear energy projects. We are also involved in other nuclear projects. We are very active. You can see here that we're applying for Phoenix Program money and we are very active and broadly there. We are also active in the gas industry, the gas and steam industry. We're planned to work at a lower performance, and thanks to dropping gas prices, the performance is higher there. We're active on the gas market and we are benefiting from dropping gas prices. And for our production facilities, we can deliver energy and heat from the sources. Ladies and gentlemen, in terms of production results. Production of metal and the capital group and national assets and foreign assets, I will focus on domestic assets and Mr. Kidon on foreign assets. We have payable production, silver and TPM and molybdenum. In terms of the dry weight, 15.6 tonnes, the contents of 1.74, this gives us 2% up year-on-year. In terms of concentration, 202,000 tonnes was a concentration of 22.6%, which is plus 1.7% year-on-year. In terms of electrolytic copper production, 2,960,000 tonnes production, a lot is 10% up in domestic production. Year-on-year the performance is the same. In terms of silver production, 699 tonnes which is plus up 4.5% year-on-year. Thank you.
Piotr Checinski: Thank you very much. And again, I would like to ask Miroslaw Kidon to take the floor.
Miroslaw Kidon: Thank you. I would like to present Sierra Gorda performance. We are really happy with the results and the performance of Sierra Gorda mine. It's one of the best mines in Chile. Year-on-year it receives more and more awards from the authorities. This year it will be for health and safety. We delivered 200,000 tonnes of production of copper and we are number one in terms of year-on-year productions right followed by Chilean Spence, however, they opened a new line of sulfur. We however deliver this through efficiency measures. Looking at payable copper production. These results are influenced by the content of copper and molybdenum in the ore. Looking at molybdenum and precious metals year-on-year, they are growing up, 11% molybdenum, 6% gold, and payable silver 10% lower. Although the content of ore was down by more than 10%. However, looking at the second quarter of 2023 is compared to the year '22 is a bit better. However, this is not the most important thing. The most important thing is the operations of that facility. This year we delivered over the budget while costs were under the budget. And this year we are delivering 130,000 tonnes in August of processing -- daily processing. Sierra Gorda was designed for 110,000 tonnes of having that capacity. We are exceeding the capacities not by 1,000 or 2,000, by 20,000 tonnes in terms of daily processing. And we believe this is not the end of the development of Sierra Gorda, we have plans, we are analyzing the ways to still boost processing. All investments taking into account the potential, looking at opportunities to grow production in Sierra Gorda. This year we've commissioned third densifier Outotec having a diameter of 80 meters. We have two of them. This densifier is more modern, fit well, it's like a distribution box that distributes waste through the densifier and with a more powerful drive. We needed that driver to test the densifier to obtain the declared 62% of solids in the environmental permission. There was measurements from last month show that we are able to obtain 64%. This is extremely good news because that gives us green light for further analysis, for further development, and driving productivity and processing in the Sierra Gorda. The processing and the yield in Sierra Gorda is growing continuously, thanks to optimizations, launching new technologies, upgrading of the technological processes. We achieve all this, thanks to our excellent people. These are both Chileans and Poles and a lot of people from other countries. In total, different people from over 12 countries. So we have really excellent professionals who expand this mine. We would like to share the experiences from Sierra Gorda across different assets and roll out this best practice throughout our Capital Group, also in Poland. Going forward looking at the KGHM International, KGHM International, as can be seen, shows a decline year-on-year. And this is mainly due to a transition zone. The transition zone is regretfully a place where we don't have clean ore, it's mix with different kinds of silts, sand, clays and that changes the performance of our machinery and pushes down the performance. Therefore, in the first quarter, also in the first quarter, we had extreme snowfall. And then following at that time, you may not remember but at that time there was plenty of news related to weather anomalies and impacted our mine, Robinson. Plenty of water, streams of water, very poor road conditions also contributed to the malfunction of a lot of our machinery. We implemented appropriate measures. We made the decision to buy an additional 11 trucks having a capacity of 240 tonnes and that will be purchased in 2024. Actually, the first truck is due to arrive in two months, six trucks this year, five next year. We have plans for 14 more and we will replace the whole fleet of 30 trucks and replaced 35 trucks. That will allow us access to appropriate places and this will allow us to over-deliver achieving performance comparable to Sierra Gorda. So we have a plan for that. But I also want to say that our foreign assets is not the core business. It's not mines alone as KGHM. We are a very flexible corporation and in our portfolio, we have both manufacturing facilities, manufacturing copper. So that's a vertical diversification and but also we have support industries in Poland, ZANAM, PeBeKa, but in abroad, we have DMC, which is a modern service companies providing services of manufacturing mining facilities or shafts. And I think my friend. Mr. Marek Pietrzak, Head of Corporate Affairs.
Marek Pietrzak: Thank you very much. As mentioned KGHM Group also includes groups -- companies that supports production processes and these companies include ZANAM who are in the mining equipment business, PeBeKa, construction company for mining industry, Mercus, a logistical company and many more. And as in our corporate governance, we constantly look for synergies to maximize, to make the most of our assets and this is an ongoing process. As the President has mentioned, we will do more than mining proper. We also do a lot of associated businesses. And one of the companies here is DMC Mining Service. We are very proud of its performance and we acquired that company back in 2012. It has over 40 years of experience. It has a strong market presence and a portfolio of market-leading customers such as the Glencore, Valeo, Codelco. And it is a global company. It has offices in Canada and the US. So far it has delivered 32 projects. So a lot of reasons to be proud of. So we do much more than our core business. We also acquire companies around our core business and President Kidon will tell you more details.
Miroslaw Kidon: Thank you very much for giving me the floor, again. I'll tell you why we are talking about DMC in a second. Let me first confirm that this is a high know-how company, lots of top quality experts from Poland, Canada, US, or the UK. And quite importantly just like our other assets and our Polish mining operations, DMC pays a lot of attention to safety. There were no accidents or injuries in '21 and '22. DMC has a flagship product. The know-how and the capabilities of drilling shafts by using an SBR harvester. This is a machine that was first designed and built by DMC in cooperation with Herrenknecht from Germany. And that company -- the German company designed a machine to the guidelines of DMC. So it's fully automated in stage one. It does the proper digging then it sucks the material and delivers it upwards. Obviously, the borehole is secured immediately after it's drilled. It has certain limitations. If the hardness exceeds 320 megapascals, then it will not work, but when you have potassium deposits or salt deposits, this is -- this technology is just fantastic. And we are proud that DMC as the world's first player used that technology. Now coming back to our projects in Poland. As I mentioned, we want to build a ventilation shafts with a diameter of four meters and we want to use the experience of DMC. We've been thinking about blind boring technology. This is a machine that knows how to drill in situations where water is a threat and the machine can do that without actually freezing the ground. And in the end, the water is actually used to help stabilize the shaft casing. That's why we've been thinking about using that technology. It would actually shorten the drilling time four times compared to traditional methods. As I mentioned, our expansion in new areas of operation require more and more ventilation. That's why we've been searching for new technologies that would help us build ventilation shafts quicker. DMC is important for another reason, that another major project in Canada. That's our Victoria mine. We haven't yet decided on building a mine there. At this stage, the depth of the shaft is 40 meters only. We should start drilling in September and we will go down 1800 meters. Another shaft will be 2000 meters. When you compare our 1300 at GG-1, well, then GG-1 is not that impressive anymore, but the difference is in the conditions, the soil conditions and underground conditions are more favorable in Canada because the temperature adds 2000 meters in Canada is 30 degrees, give or take. Actually, we will probably need heating rather than air conditioning. And more seriously, the project is very tempting. The deposits are good quality. They may have well over 0.5 million tonnes of metals, mostly copper, nickel. There's a little bit of a gold, silver, palladium, platinum, and cobalt. So with energy transformation coming ahead for the world, these are very important metals for the transformation process. Copper is self-explanatory. Silver is commonly used in PV panels. Nickel and cobalt are necessary in lithium and ion batteries. Platinum is key in fuel cells. For instance, Bosch is phasing out its traditional batteries. Now it's searching for hydrogen batteries. We will be ready for them. I think that's it from me, when it comes to foreign assets.
Piotr Checinski: Thank you, Mr. President. Now let me give the floor again to Mr. President, Wodejko.
Mateusz Wodejko: Yes, indeed. I will try to elaborate on financial performance in the first half of the year. As Mr. Zdzikot already began. So as he said, if we look at EBITDA, the adjusted EBITDA for the Group and for KGHM Poland, if we take a longer perspective, certain cycle, so to speak, then you will notice a certain trend. The first half, both for the Capital Group and the Polish company, the first half of the year was not bad. It was one of the better first halves. Here, our baseline is the first half of 2022 with record high copper prices and then inflation pressure caused by the war in Ukraine. Well, it increased the cost of materials and labor, but it was not that visible last year. So the first half of the year doesn't look bad in terms of EBITDA. And as Mr. Zdzikot said, copper prices went down by 11%. And when you look at our revenues, we did all we could to make sure to optimize our revenues. We did some hedging transactions. We sold more products, wherever possible. And given the lower copper prices and unfavorable dollar-to-zloty exchange rate, year-on-year, with each tonne, we lost PLN4,000 because of the exchange rate difference, If copper prices were at the level of over PLN9,000s then we would surely be able to counterbalance the cost pressure and we could present even better performance. But the global situation on the market is what it is. We have an economic slowdown. Material prices go down and price pressure keeps growing. If you look at inflation scores for all over the world, you will see that the pressure is still there. In the Polish operations, in the Polish company, we do quite a lot to counteract the pressure. We review our contracts. We plan for the next year to prevent the baseline inflation and cost pressure is actually coming from the world to Poland. So we can't do much about this. Now let me discuss the results in detail. If you look at multi-annual perspective, both for the Group and the Polish operations, then in Poland, the result is quite good, PLN1.207 billion. It's one of the better results in the history, with two or three exceptions. The first half of '21 and '22, these were very good periods, yes. But in principle when you compare to other years, it doesn't look bad at all. And for the Group as a whole, it's not that impressive admittedly, even though there were some comparable periods in the past. And why is it so unimpressive? Well, the net result of the Group as a whole is strongly affected by the performance of KGHM International as Mr. Kidon explained to have this transitional reduction in output, and this brings about more consequences. So we need to do more accounting operations such as additional provisions for reserves. We also have a higher capitalization of cost. So the results of international is relatively poor. It's actually quite negative. But there are many reasons for that. Also, we need to look at the net result of the Capital Group. Foreign exchange losses are quite important here. The dollar and euro exchange rates at the end of 2022, they were much higher than now. So foreign exchange losses, I will explain in details in a while. That's of key importance here. Another accounting parameter is the higher level of reversal of losses on loans granted in Sierra Gorda. Some write-offs were made in the past in 2022. In 2023, we continue doing that, but obviously, they are lower. It's roughly PLN300 million, which is significant. Also in 2022, the company enjoyed a tax relief on the tax on mining production. So this also meant that our cost in 2022 were much lower. Now some details. As I said before. EBITDA of the Group is PLN3.148 billion. This is slightly lower than in the second half of 2022. But in the multi-annual perspective, it's not that bad. Revenue's comparable both for the Group and for the Polish operations and the net result of the Group, as I said, a less reversal of losses on loans granted and foreign exchange losses. This had a strong bearing on our results. Now revenues, why are they slightly lower? For the Capital Group, it's -- more sales, PLN227 million, and that comes mostly from the Polish operations and a reduction in International. You can see PLN1.79 billion, that's lower copper prices, and we can counterbalance it with foreign exchange changes. We also have a positive impact of the adjustment of revenues from derivative instruments, plus PLN600 million. This year, we had PLN227 million. Last year it was PLN370 million minus. So as a result the delta is PLN604 million. Also the Polish zloty, in terms of one tonne of copper, H1 and H2 go down. The level is pretty low, just over 37,000 and that's the price of copper in Polish zloty. So I'm glad that the revenues are comparable to the last -- to the previous year, but we were unable to improve -- to increase our revenues in order to counterbalance our costs. And here we have costs by type. As you can see, when you look at the pure cost by type, then the growth is not as big as the total cost for operating purposes where we have changes in inventories or cost of inter-business service -- intra-business service. Here period to period, the costs went up by PLN1 billion roughly. If you look at the quarters of the year, when we exclude the third-party charges and mining tax, then we have PLN5.4 billion. And in the first half of last year, it was PLN5.7 billion. So as you can see, we are actually counteracting the cost pressure. This is not an easy fight, but we're trying to do all we can to keep our costs under control. Now C1, when you compare the first six months of this year to 2022, the world inflation was much lower than now. Then the difference is quite big. But let's say loud, our revenues depend on the macroeconomic situation. So it's only natural that the growing cost worldwide should be reflected in our growing revenues, but this is not easy when we have an economic downturn globally. Now in terms of the PLN401 million as a profit, that is PLN169 million deterioration operating cost PLN1.9 down, then costs by type, change in stock, change in production for own goods. In the first half year we actually build stock more than in 2023, PLN301 million is the accounting approach with the reversal of debts of loans and slightly lower charged interest in terms of loans given to Sierra Gorda, and exchange rate differences, PLN1.5 billion. You can see the significant influence of exchange rate differences on company's performance. In the price, I can say the company had a profit of PLN4 billion. Now it has PLN400 million. So but if you look at negative exchange rates and on top of the PLN300 million of the write-off due to reversal of write-off, then you can see how matter is beyond the control of the management, can influence the performance of the companies, the negative exchange rates and we as a company, on the one hand, if the Polish zloty is stronger than that will reduce our liabilities. But also we can -- the negative aspect is that if we grant a loan to Sierra Gorda then it's -- the loan is quoted in Polish -- in dollar and if the Polish zloty is stronger, then in the dollar, they are still high. So everything depends on the exchange rate. What else happens? Individual one-off events, the sale of intangible assets, the sale of the oxide project and the sale of subsidiaries. The Franke mine, PLN300 million in one-off events that took place in 2022. So that's from the point of view of the Capital Group investments. In terms of cash flow, we can show here that the company aiming to maintain a low level of debt -- net debt to EBITDA, try to maximize cash and we can see that we achieved this and this allows us to maintain a safe debt to EBITDA ratio with working capital is positive. And in terms of the debt of KGHM, 0.9 which is under 1, so level cash, level debt, significant change of net debt from over PLN5 billion to just over PLN4 billion. We maintained, in these hard times in the world, we maintained safety and security, like financial security. Therefore the financial institutions can show that we are a prudent and responsible entity with money to invest. Now on these slides, I wanted to show you the performance against budget. Looking at this, it looks quite good. The unit production cost, lower than budgeted for. Capital investments at low level, PLN1.369 billion in terms of CapEx, 21% higher year-on-year. Capital investments, PLN589 million this year -- this half year. So our loans given out which, for example, fund the Victoria project where we expand Victoria using our DMC company. So this money is retained within the Group, and liquidity, 0.9. In terms of production and sales results compared to the budget, the Polska Miedz, we have a success in terms of mining. Copper, concentrated copper, concentrated silver, exceed the budget levels in terms of the first half year. Electrolyte copper at a similar level year-on-year. Looking at the budget, we are happy to say that in the first half year in 2023, we manufactured electrolyte copper using own concentrate, more than in 2023. So we minimize outside inputs. We improve our efficiencies. Our mining production from my perspective is more desired, because we don't have transportation costs. With own input, you don't have supplier margin. So that's we can be happy that the mining was on the rise. In terms of sales, we can say that this is within the budget. International, that's been discussed by Mr. Kidon, Sierra Gorda, also Mr. Kidon mentioned that looking at the second quarter in terms of Sierra Gorda, we can see that the second quarter was much better than the first quarter. So despite of the geological hindrances, the yield is progressing nicely. In terms of the second quarter of 2023, we can see we are facing problems related to revenues and this is because compared to the first quarter in 2023, the price of copper was much lower in the second quarter. In the first quarter, the world believed that the economic rise in China would be higher after the COVID pandemic, but there was no stimulating package. Therefore, in the second quarter, the price of copper and silver was lower. We're trying to mitigate these adverse effects by applying cost measures and the cost of energy and gas helped us in that. So the second quarter doesn't look that bad. Also, as a matter of order, going through different segments in terms of EBITDA, Polska Miedz, we can see a decline by PLN1.214 billion and a large share of that of the International that impacts EBITDA at consolidated level. In terms of Polska Miedz. Polska Miedz, in the first quarter, revenues was actually higher than in the first quarter of 2022. So our efforts to maintain sales was more effective. And in terms of sales of copper, you can see the results here in terms of volumes. Now in terms of cost, we showed costs by type. Cost by type show -- reflect the level of the Capital Group. So the stock, we manufactured to stock, so at the costs by type the negative effect is lower than at operational level. And looking by quarter, we can see that the cost -- we are trying to curve the costs. EBITDA and financial result, just -- that's been discussed earlier. In 2023, in the first half year, the adjusted EBITDA was higher of Polska Miedz than in the second -- than last year. The prices were similar. The exchange rate helped, but we are trying to oversee the costs. Therefore, the EBITDA was higher. Net financial result. We don't see a big difference as in the case of the Capital Group. Increase in the topline, 2,808 million. That's volume. The PLN299 million, that's topline growth, higher operating costs, PLN1.6 billion the result of exchange rate differences. We can see that how that impacted our performance reduction of the income tax that contributed to our benefit. In terms of risk management. In the second half of 2023, we have security for 94.5 tonnes of copper and 2,100 ounces of silver. So we have that in our order book. At the end of the H1, the mother company showed performance and derivatives at PLN164 million. So we have reduction in operations, PLN109 million and PLN46 million up in terms financial results. So we have a lot of positive performance in terms of using derivatives and financial results. In terms of our foreign currency, security, and hedging, we have $487.5 million secured and then for the next half years, $330 million. So that's in terms of me. So this is the end of our presentation and now I understand we are opening the Q&A session.
Piotr Checinski: Thank you very much, Mr. President. So, Mr. Tomasz Zdzikot to summarize that and then Mr. Krystosiak and we'll move to the Q&A session. Mr. President, the last word.
Tomasz Zdzikot: Ladies and gentlemen, we are aware of the challenges that we face today and going forward. The challenges related both to our macroeconomic environment and we show that to you today related to raw material prices, commodity prices, energy prices, steel prices, and in general cost pressures. We are facing these challenges successfully, Mr. Wodejko said that we are keeping our costs in control. We are making sure to ensure higher production levels. Mr. Swider mentioned that production in Polska Miedz is something that helps us a lot to stabilize the company's situations and to develop and grow looking for further opportunities for production increases. We have a lot of development projects, which were in the pipeline, and now we are implementing them. They will bear fruit by showing production stability, financial stability in the long-term. In terms of challenges related to foreign assets, we'll manage that as well. We are happy with the progress of our Group companies, Mr. Pietrzak mentioned that because in our portfolio, we have both domestic and foreign companies, international companies, that managed well in the market and they form part of our whole supply chain, internal supply chain. So, ladies and gentlemen, in summary, PLN3.148 billion EBITDA in the Group, over PLN2 billion in Polska Miedz, net results, PLN400 million, Group results, given the environment, given the trends and looking at the trends, starting from 2018, that performance ensure stability of our company, and that is the word that we'll -- we are repeating. Polska Miedz needs to be stable, both when we have adverse macroeconomic environment and when we have economic prosperity which we experienced in the last two years. Thank you very much.
Piotr Checinski: Thank you very much, Mr President. And then now Janusz Krystosiak.
Janusz Krystosiak: Thank you very much. Now the first question from Bank of America, Jason Fairclough is asking, what is the plan for our -- for international assets operations, because it seems that we have a loss of money at EBITDA level? Is that sustainable? Will you shut down mines? And I think, Mr. Kidon.
Miroslaw Kidon: Thank you very much for the question. As I mentioned earlier, we are in the transition zone. As this indicates, this is a transition. We will come to the ore, to the proper ore, will get proper blending and obtaining of the workings and deliver performance in Robinson. So definitely this is temporary time. The plan is to improve availability of mining machinery and we have made appropriate CapEx decisions in terms of the replacement of machinery, and we want to support Robinson with our Polish know-how. We are preparing a group of engineers who will support Robinson. In the future we are also intending to implement a debottlenecking project as we made in Sierra Gorda to improve production at Robinson. We are also intensively exploring the site. We are right now in the Radwanice-5 transition zone and we are planning to keep the company, the mine until 2035. But even now we can say that on the basis of exploration research, we will extend that life to '39. Thanks to liberty and Veteran pits. We are still searching for copper-bearing minerals and associated area called Lane Valley. Hence as I mentioned earlier, the lifetime of the mine will continue. We will go through the transition zone and we have appropriate financial plans to improve effectiveness, efficiencies, production and profitability of Robinson in the future. Thank you.
Janusz Krystosiak: Thank you very much. We discussed a lot today about Victoria project, what -- the working assets in Sierra Gorda but maybe Mr. Kidon could add something. Still to the project, by answering the question from UBS. Can you show, can you indicate when KGHM will agree or further agree the progression of Victoria project? And the fourth line in Sierra Gorda, can you indicate additional production related to these projects? So, probably, let me just say that the forecast would not be at this stage. We might talk about plant parameter, but in terms of management decisions, could we say something more perhaps?
Miroslaw Kidon: We have plans to make a decision in terms of the fourth line by the end of the year. Naturally, we need to take that with our partners of 32, therefore, we are actively analyzing NPV, improving production, the C1 costs, thanks to that investment. Therefore we gave ourselves time until the end of the year. Victoria project is similar, however, we as being a reasonable Management Board, we've analyzed the project in depth and we came to the conclusion that there are risks we need to address and mitigate before the decision has made. And at present, we are working on that. Hopefully, by the end of the year, we will make -- we will take the decision, but that depends on the analysis.
Janusz Krystosiak: Thank you very much. As I browse through the other questions, I can see that they are related to operating costs of the Group by different market segment. We've been talking a lot about this. We have also some questions about our forecast or expectations. Quite importantly, we don't do forecasts. Actually, we don't publish forecast. So as reading the list, I can't see any new questions and detailed questions about the different cost items or C1 costs that still have to be calculated. Well, we will answer all these questions by posting the answer on the website. I would not like to take too much time from you. President Wodejko spoke about cost at length and detailed calculations and parameters and KPIs, will be published on our website, specifically in the Q&A. So, that's it from me. Thank you very much.
Piotr Checinski: Thank you. Let me also thank the Board of Directors of KGHM Poland. This is where the conference ends. This was a conference summarizing the first half of 2023. All the journalists here are invited to record interviews. The Board is here for you. And online viewers, thank you very much for your attention.
End of Q&A: